Operator: Good afternoon. My name is Chad, and I will be your conference operator today. At this time, I would like to welcome everyone to the Warrior Met Coal Fourth Quarter and Full-Year 2019 Financial Results Conference Call. [Operator Instructions]. This call is being recorded and will be available for replay on the company's website. Thank you. Before we begin, I have been asked to note that today's discussion may contain forward-looking statements, and actual results may differ materially from those discussed. For more information regarding forward-looking statements, please refer to the company's press release and SEC filings. I have also been asked to note that the company has posted reconciliations of the non-GAAP financial measures discussed during this call in the tables accompanying the company's earnings press release located on the Investors section of the company's website at www.warriormetcoal.com. In addition to the earnings release, the company has posted a brief supplemental slide presentation to the Investors section of its website at www.warriormetcoal.com. Here today to discuss the company's results are Mr. Walt Scheller, Chief Executive Officer; and Mr. Dale Boyles, Chief Financial Officer. Mr. Scheller, you may begin your remarks.
Walter Scheller: Thanks, operator. Hello, everyone, and thank you for taking the time to join us today to discuss our fourth quarter and full-year 2019 results. After my remarks, Dale will review our results and additional detail and then you'll have the opportunity to ask questions. 2019 was another record setting year for Warrior in operational performance. Some of the highlights are as follows. Record annual sales volume of 8 million short tons, lowest quarterly cost -- cash cost per ton in the last nine quarters, lowest annual cash cost per ton, best ever annual production volume of 8.5 million short tons, record low safety incident rate, while increasing production volume by 10% year-over-year. The Mine 7's production volume set another best ever record breaking last year's previously achieved record. I will provide more color on these record achievements in my commentary that follows. The company's fourth quarter played out, as we expected and discussed on our third quarter conference call with the exception of higher inventories. So we achieved record sales and production levels for the full-year of 2019. Both sales and production volumes were lower in the fourth quarter compared to any other quarter during 2019. As we indicated previously, these lower volumes were impacted by soft market conditions, low pricing, more holidays during the quarter, additional days out of production to perform routine maintenance and the completion of one longwall move. While we elected to perform this additional routine maintenance and flex up production volumes during these challenging market conditions, we were able to manage to control our cash cost of sales to less than $86 per short ton, the lowest quarterly amount in the last nine quarters. The fourth quarter proved to be the most challenging quarter of 2019 for our markets. Steel producers continued to struggle with slim margins, while constantly adjusting their production levels to match sales orders. As one would expect, these challenges extended to met coal producers as well, navigated to a declining demand, while also dealing with lower margins caused by a low pricing environment. All major indices for premium hard coking coals remain range bound at their lowest levels of the year, mainly due to soft steel demand, the uncertainty caused by the ongoing trade wars and the Chinese import restrictions on seaborne coals. Despite a difficult fourth quarter, global pig iron production ended the year at 1.3 billion metric tons, equivalent to an increase of 2.3% compared to 2018, while our natural markets, Europe and South America experienced year-on-year -- year-over-year pig iron production declines of 4.2% and 8.7%, respectively. Warrior was not immune to these challenges because we saw some of our customers request adjustments to vessel shipments in order to minimize their onsite inventory levels. In addition, spot market opportunities were few and far between, and when available, we are normally met with a larger contingent of suppliers competing for these opportunities. As a result of the difficult circumstances, a handful of U.S led coal producers responded by shutting down or temporarily idling over 7 million metric tons of annualized production. Warrior is proud to have increased our year-over-year sales volumes in such an environment. Production volume in the fourth quarter was 1.8 million short tons, compared to 1.9 million short tons produced in the same quarter of 2018, a decrease of 4%. We successfully completed one longwall move in the fourth quarter compared to one longwall move in the fourth quarter of 2018. As I mentioned earlier, the lower production volumes were driven primarily by our election to perform additional maintenance at the mines during the fourth quarter, as well as a softer market conditions that I described earlier. The company's strong performance in the fourth quarter propelled full-year production volume to a record high of 8.5 million short tons, which exceeded our guidance target. This record high represents over 700,000 more short tons in 2019 or a 10% increase over 2018. The capital investment into the mines over the last three years has paid off nicely, and the operations ran extremely well with minimal disruptions during the year. Mine 7 reached a new milestone in its history with a record high production of 6.2 million short tons in 2019, which was the best ever year it had since we began production in the 1970s. This record year was on top of last year's record breaking year. Our operational successes and record high production volumes are credit to the hard work and dedication of our employees, and I thank them for all they've been doing to help us perform as strongly as we did again in 2019. Our goal for the safety of our people is that everyone who works at Warrior comes to work every day and returns home every day without an accident or safety incident. I'm proud to announce that we set these record high production volumes, while also setting record low safety incident rate at the mines in 2019. Warrior's safety rates have improved each year since 2016. We believe the company's safety incident rate is among the lowest in the U.S for underground mines and it's 48% better than the U.S. industry rate. Our top priority remains working safely, because that is the first and most important step to working efficiently and ultimately achieving success in the marketplace. Sales volumes in the fourth quarter were 1.7 million short tons compared to 2 million short tons in the same quarter 2018, a decrease of 16%. Demand from our customers continue to be weak during the fourth quarter, especially in South America. Sales by geography in the quarter were 53% in the Europe; 19% in South America and 28% into Asia. The mix shift from South America to Asia was primarily driven by more spot market opportunities in Asia, unless demand from South America, largely due to extended maintenance to customers as well as softer market conditions. Sales volumes for the full-year of 2019 reached a record high of 8 million short tons, which exceeded our guidance targets when compared to 7.6 million short tons in 2018, an increase of over 300,000 short tons or 4%. Ourselves by geography for the year, with 56% into Europe, 22% in the South America and 22% into Asia. We expect that Warrior would continue to increase its exposure to select Asian steel markets with producers of value premium coals. In the fourth quarter, coal inventories increased 148,000 short tons to 749,000 short tons at the end of the year, primarily due to soft market conditions and production volumes exceeding sales volumes during the fourth quarter. We believe the company is well positioned heading into 2020 to capture a better market pricing than we saw in the fourth quarter of 2019. A gross price realization for the fourth quarter was 97% of the Platts Premium Low Vol FOB Australian Index price. Index prices remained flat during the quarter, and averaged $140 per metric ton, while reaching a 3-year low in November of $132 per metric ton. The company spent $34 million on capital expenditures and mine development costs during the fourth quarter this year compared to $26 million last year. So the full-year 2019 capital spending was $107 million compared to $102 million for the previous year. Of the $107 million, we spent $89 million on sustaining capital and another $18 million on discretionary capital, primarily on the floor lower shaft instruction. In addition, we spent $23 million on four north mine development in 2019 compared to $9 million in 2018. These development costs related to a continuous monitor unit and support costs that were incurred to develop longwall panels at 4 [ph] () North. We expect to be low on mining in the 4 North area in approximately four to five years. Over the last three years, we've demonstrated a commitment to reinvesting significant amounts of capital into the business. More specifically, we've spent over $300 million to strengthen our operational platform by driving production efficiencies and higher equipment utilization. In addition, these higher than normal sustaining capital investments during high price environments provide the company with better flexibility to reduce our capital spending in lower price environments. So I will discuss later, we expect to continue that investment approach again in 2020, subject to favorable market conditions. Warriors' record performance continues to demonstrate the unique value of a highly focused business strategy as a premium pure play met coal producer. Our goal is to operate profitably and maximize cash flow generation in any pricing environment, not just in the favorable conditions we've experienced over the past few years. We've invested in the business where appropriate to support this strategy. We've also continued to reward our stockholders as conditions warrant. Warrior performs mostly as expected in the fourth quarter, which led to a record year in production and sales volumes for 2019. These operational records also drove strong financial performance. We're proud to announce that for the full-year 2019, we achieved $1.3 billion in revenues, $479 million of adjusted EBITDA and free cash flow of $402 million. In addition, we continued our commitment of returning capital to stockholders, which totaled $253 million cash dividends and stock repurchases over the course of 2019. A strong fourth quarter and full-year 2019 results continue to demonstrate the key strengths of our business model. One, focused on the highest quality met coal products sold into the seaborne market to some of the largest global steel producers. To realize the industry leading price realizations for a high quality products, three, a low and variable cost structure that generates some of the highest operating margins and free cash flow in the industry; and four, a highly talented workforce that drives safety, sales, production volume and efficiencies in the business. I'm pleased to note that Warrior continues to maintain a strong sustainability record and is committed to further improvements. Earlier this month, the company released its inaugural corporate environmental social and governor's sustainability report that can be found on our Web site. The report was prepared in accordance with the Global Reporting Initiative standards and highlights the company's strong environmental record. We're committed to supply in the global steel industry as a responsible corporate citizen, focusing not just on what we do, but how we do it. That means proactively lowering energy use, reducing greenhouse gas emissions, ensuring land reclamation and maintaining a leading safety record. Lastly, before I hand things over to Dale, as previously stated on our earnings calls. The company spent a significant amount of time in 2019 completing its work on Blue Creek, on the Blue Creek Project feasibility studies. Additional core drilling permits for floor storage. Another key project analysis to be in a position to make a go/no-go decision regarding the development of the Blue Creek mine in the first quarter of 2020. We're extremely pleased to announce today that the company's board of directors has approved the company's development of the transformational Blue Creek Growth Project beginning in 2020. I'll go into greater detail in a few moments. I'll now ask Dale to address our fourth quarter and full-year results in greater detail.
Dale Boyles: Thanks, Walt. As Walt commented on earlier, the company's fourth quarter played out mostly as expected and discussed on our third quarter conference call. Those sales and production volumes were lower in the fourth quarter compared to any other quarter in 2019. Another key theme from the fourth quarter was the stock market conditions, which led to low market pricing can significantly impacted our quarterly results, especially compared to the fourth quarter of 2018 when market pricing was very strong. 2019 was a record year in operational performance that generates strong financial results for the company. The company met or exceeded most of its guidance targets. However, the full year of 2019 was a story of two halves, the first half and the second half. The Platts Low Vol Index price began 2019 at $220 per metric ton, an average $205 per ton in the first half of 2019. On the back of strong demand for met coal, but global steel producers. We recorded 75% of its full year adjusted EBITDA in the first half of 2019 and 73% of its free cash flow as a result of high metal prices. A steel production in demand soften outside of Asia during the second half of 2019. The steel margins continued to get pressure from high iron ore product input prices, despite falling Met coal prices. Pricing volatility accelerate in the second half of 2019, as a trade and tariff war with China continued and China began to impose increasingly tighter port restrictions on coal imports during the second half of the year. The third quarter began with the Platts Low Vol Index price at $194 per ton and declined $54 or 28% to the fourth quarter index price of $140 per ton. For the full-year, the Platts Low Vol Index price decreased $81 million per ton or 37%. For the fourth quarter of 2019, net income on a GAAP basis was $21 million or $0.41 per diluted share compared to net income of $374 million or $7.11 per diluted share in the fourth quarter of 2018. Excluding the non-cash adjustment to our asset retirement obligations due to a change in reclamation estimates, non-GAAP adjusted net income for the fourth quarter of 2019, the $12 million or $0.23 per diluted share compared to $2.38 per diluted share in the fourth quarter of 2018. For the full year 2019, net income on a GAAP basis was $302 million or $5.86 per diluted share compared to net income of $697 million or $13.17 per diluted share in 2018. Excluding the noncash asset retirement obligation adjustment, loss on early extension of debt and other nonrecurring income, non-GAAP adjusted net income for 2019 was $284 million or $5.52 per diluted share compared to $459 or $8.67 per diluted share in 2018. Adjusted EBITDA was $39 million in the fourth quarter as compared to adjusted EBITDA of $162 million in the same period of 2018, a decrease of 76%. The companies adjusted EBITDA margin was 19% in the fourth quarter, compared to 45% in the fourth quarter of 2018. The quarterly decrease was primarily driven by a decrease in average net selling prices of 33% and a $0.16 decrease in sales volumes, partially offset by lower production costs. For the full year 2019, what you record, adjusted EBITDA $479 million compared to $601 in 2018, a decrease of 20%. The yearly decrease was primarily driven by a 12% decrease in average net selling prices, partially offset by a 4% increase in sales volumes and lower mining production cost. Adjusted EBITDA margin was 38% in 2019, compared to 44$ in 2018. Total revenues were $205 million in the fourth quarter of 2019 compared to $360 million in the same period last year. This decrease was primarily due to a 33% decrease in average net selling prices and a 16% decrease in sales volumes. For the full year 2019, total revenues were $1.3 billion on record sales volume of 8 million short tons, compared to $1.4 billion in 2018 on sales volume of 7.6 million short tons. Total revenues in 2019 decreased $110 million or 8% of 2018, primarily due to a 12% decrease in average net selling prices, partially offset by a 4% increase in sales volumes. The average net selling price per short time decreased 33% in the fourth quarter compared to the same period in 2018. The Platt's level index price remained flat during the fourth quarter, beginning and ending at $140 per metric ton. While hitting a 3-year low of $132 per metric ton in November. Our gross price realization was 97% in the fourth quarter. Demurrage and other charges reduced our gross price realization to a net average selling price $120 per short ton in the fourth quarter of 2019 compared to $178 in the same period last year. For the full year 2019, average net selling prices decreased 12% to $155 per short ton. Cash costs of sales was $142 million or 72% of mining revenues in the fourth quarter 2019, compared to a $183 million or 52% of mining revenues. In the fourth quarter of 2018. Cash costs of sales for short ton, F.O.B. port was approximate $86 in the fourth quarter compared to $93 in the same period of 2018. The primary drivers of this decrease were lower transportation and royalty costs, which are variable and price sensitive to met coal prices. These costs were lower on 16% lower sales volumes and a 33% lower average net selling prices. As well indicate earlier we flex our production volumes and down in the fourth quarter, while managing our cash cost to the lowest quarterly cost per ton amount since the second quarter of 2017 or nine quarters ago. Cash cost of sales per short ton, F.O.B poor was approximately $90 for the entire year of 2019 and approximately $4 per short tons lower than 2018. This was a record low amount for Warrior in the last three years. These strong results were in the lower end of our guidance range for the year. The decrease in the cash cost for short ton is primarily due to 12% lower average net selling prices, partially offset by a 4% increase in sales volumes and lower mining production costs for the full-year of 2019. SG&A expenses were about $8 million or 4% of total revenues in the fourth quarter of 2019 and approximately the same dollar amount in the same period last year. SG&A expenses were $37 million for the full year 2019 and flat compared to 2018. Appreciation and depletion expenses for the fourth quarter 2019 were $24 million or 12% of total revenues compared to $25 million in 2018. For the full year 2019, these expenses were $97 million and approximately the same amount as 2018. The full year 2018 expense included $4 million accelerated depreciation on equipment beyond economic repair. Net interest expense was about $7 million in the fourth quarter and include interest on our outstanding debt plus amortization of our debt issuance costs associated with the credit facilities offset by interest income. For the full year 2019, net interest expense was $29 million or $8 million lower than 2018, slightly better than our guidance for the full-year of 2019. The decrease in the fourth quarter net -- net interest expense and full year 2019 amount over the same periods in 2018 were primarily due to the early retirement of the $132 million of our debt in the first quarter of 2019. The company recorded noncash income tax benefit of $3 million during the fourth quarter of 2019, reflecting the utilization of the company's NOLs and a benefit of $7 million as a result of recognizing additional alternative minimum tax credits, general business credits and net operating losses available to the company in connection with the settlement agreement between Walter Energy and the IRS. For the full year 2019, the company recorded non-cash income tax expense of $65 million or an effective income tax rate of 17.8%, which was primarily related to the utilization of our NOLs. In the fourth quarter of 2018, the company recorded a non-cash income tax benefit of $226 million, primarily reflecting the release of the valuation allowance on deferred tax assets associated with the company's net operating losses. We paid no cash taxes in 2019 or 2018, as indicated in our guidance, and continued to expect, the utilization of NOLs will reduce our federal and state income tax liability to zero until the NOLs are fully utilized or expired. Turning to cash flow. During the fourth quarter, the company used $9 million of free cash flow, which was a result of cash flows provided by operating activities of $25 million. Thus cash used for capital expenditures and mine development, a $34 million. Free cash flow would have been $25 million higher and positive for the fourth quarter had one customer's accounts receivable balance then paid on the due date by year-end. This quarterly result compared to $105 million of free cash flow in the fourth quarter of 2018. This lower result was primarily due to lower net income in the fourth quarter, plus an increase in working capital of $27 million from the third quarter of 2019. It's working capital increase was primarily due to lower pricing and higher imports. The cash flows from operating activities for the full year 2019 were $533 million and were $27 million or 5% lower than 2018. These lower results were driven by lower net income in 2019 compared to 2018 and partially offset by a decrease in working capital, $30 million. The company generate free cash flow of $402 million in 2019, a decrease of $56 million or 12% over 2018. Free cash flow conversion was 84% this year, compared to 76% last year. Cash used in investing activities for the purchase of capital expenditures and mine development cost was $34 million during the fourth quarter and totaled $131 million for the year. Cash flows used in financing activities were $7 million in the fourth quarter of 2019 and consisted of the payment of the quarterly dividend of $3 million plus $4 million of capital lease payments. For the full year of 2019, cash flow is used in financing activities with $412 million and consisted primarily of repayments of debt of $132 million.' Capital lease payments of $17 million. Distributions of dividends of $240 million and stock repurchases of $13 million. The company exhausted its first stock repurchase plan in early 2019 and announced a new $70 million stock repurchase plan beginning in 2019. Under the new plan, the company has repurchased 500,000 shares of common stock totaling $11 million. Total cash distributed to stockholders in 2019 through dividends and stock repurchases totaled $253 million. Since the company's IPO in April of 2017, the company has distributed approximately $1.3 billion to stockholders consisting of dividends and stock repurchases. The company's balance sheet continues to be strong, with a leverage ratio of 0.38x adjusted EBITDA plus ample liquidity. A total available liquidity at the end of the year was $310 million consisting of cash and cash equivalents of $194 million and $116 million available under ABL facility. Net of outstanding layers of credit of approximately $9 million. In summary, we finished fourth quarter as expected and that contributed to our record production sales volumes for the full year and another strong year of financial performance. Now turning to our outlook and guidance for 2020. As a result of our strong production in 2019, we expect to complete four longwall moves in 2020 compared to the five moves we had in 2019. Our guidance for the full year 2020 is subject to many risks that may impact performance, such as market conditions in the steel and met coal industries and overall global economic conditions. All as more fully described under our forward looking statements in our SEC filings and is as follows. Wholesales of 7.3 million to 7.8 million short tons. All production of 7.0 million to 7.5 million short tons. Cash cost of sales F.O.B. port of $88 to $93 per short ton. Capital expenditures of $125 million to $145 million. Mine development costs $10 million to $14 million. SG&A expense is a $32 million to $36 million. Interest expense net, $25 million to $27 million. Non-cash deferred tax expense of 18% to 20% and a cash tax rate of 0%. We are approaching 2020 with continued optimism, although with a cautious and conservative approach, until further market in economic information is available. Our estimates reflect some conservatism because of the inherent risk of underground mining. Several factors may affect our outlook, including The Platts Premium Low Vol pricing Index, the number of planned longwall moves and the timing of those moves between quarters. Before I turn it back over to Walt, I want to comment on our other announcement today regarding the development of our Blue Creek project. We're very excited about this transformational growth project. After completing our project work and analysis in 2019, the net present value and assume net coal price of $150 per metric ton, which is approximate today's market price. Significantly increased over our initial estimates, primarily due to higher expected production volumes and lower estimated production cost. We project that the net present value of this transformational growth project is over $1 billion and you can do the math for yourself on what that could mean to on a per share basis. We expect an after tax internal rate of return of nearly 30% in a short pay, better off two years from the initial longwall production. Order a strong free cash flow generation, current liquidity, as well as the ability to finance $110 million to$ 120 million of capital expenditures through equipment leases, allows water to be opportunistic as it evaluates funding options for Blue Creek. These strengths, combined with a strong balance sheet provides the company significant flexibility and how we choose to finance Blue Creek development.  I will now turn it back to Walt for his final comments.
Walter Scheller: Thanks, Dale. Before we move on to Q&A, I would like to make a few more comments about the year we just completed and our Blue Creek announcement today. We're very pleased with the company's record operational performance and strong financial results in 2019. And we appreciate the support and engagement that we have received from our stockholders, and of course, our employees. Global steel production finished 2019 in an upward trend, but almost entirely on the strength of Chinese production, while South America and Europe continue producing steel at reduced levels. Notwithstanding the global uncertainty posed by the coronavirus outbreak, Warrior has observed signs of improvement across all of our geographic markets as the year starts. Indications are that most steel producers have stopped reducing operating rates, while several of our customers have raised their production or are in the process of planning for incremental increases in the current and upcoming quarters. As a result, we're expecting our sales orders to return to expected levels sometime in the first half of 2020. We're also expecting spot opportunities to increase over the same period. Despite these improvements, we prefer to remain cautious and confirm that recent developments in steel pricing and steel demand can be sustained, especially due to the effects of short-term uncertainty lingering in our markets. We recognize that certain macro economic factors, such as a potential slowdown in regional GDP growth rates and the trade and tariff war with China, the coronavirus outbreak, as well as the reduction in steel demand in Europe, have the potential to create a soft pricing environment for hard coking coal. The coronavirus outbreak to be the largest threat to seaborne met coal prices until we can get more clarity on containment of the virus from China and their businesses get back to operating as usual. However, barring any unforeseen material events, we believe current fundamentals should remain relatively healthy for our markets. We expect sales and production volumes in the first quarter of 2020 to be more like the fourth quarter of 2019, in which inventory levels could rise even further if macro economic factors continue to pressure steel demand. In light of these expected market conditions, we're establishing our 2020 guidance targets with cautious optimism. As I have said on previous calls, we run the business as if the next pricing downturn and geological issue are just around the corner, with conservative targets and flexible operations that allow us to adjust to the market and environment as it changes throughout the year. We expect to update our 2012 guidance during the year as necessary to adapt to changing market conditions and changes in the business. Lastly, I want to provide some additional color on our announcement to develop the Blue Creek project. The new single longwall mine at Blue Creek is expected to produce an average of 4.3 million short tons per year of premium high volume met coal over the first 10 years of production. Once we’ve developed Blue Creek, we expect that this new mine could result in a 54% growth in our annual production capacity that will total nearly 12.5 million short tons per year. We believe that premium High Vol A coals will become increasingly scarce, driven by declining supply and a lack of significant new project development, which should support strong pricing fundamentals in the future. Another attractive feature of this new mine is that we expect production costs should be in the first quartile of the U.S and global seaborne cost curves. We believe the combination of these factors will generate some of the highest met coal margins in the U.S. The company will begin developing the mine this year and expects to spend approximately $25 million in 2020. With that, we'd like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And the first question will come from Daniel Scott with Clarksons. Please go ahead.
Daniel Scott: Thanks. Congratulations, guys. Good quarter in a tough environment and an exciting news on the mine. I have noticed and correct me if I'm wrong, that the estimated cost of Blue Creek $550 million to $600 million, I think that's the same number that you had last time that you did the budget for it a few years ago. Is there anything -- any puts or takes that have changed the profile, or is it just nothing really move?
Walter Scheller: This is Walt and thank you. Yes, things changed around a little bit, but all in all, it was kind of a wash. So we came back to about the same number, just a different way of getting there.
Daniel Scott: Okay. Which really, I guess, jumps at is clearly that cost structure being significantly lower. Can you talk about what it is about that mine in particular other than it's just brand new that really pushes the cost down that much?
Walter Scheller: Well, part of it is the fact that it's brand new. The other part is as we get more exploration, drilling, the coal seam thickness through the -- at least the first 10 years is a little thicker than we had modeled. And that's why we're seeing the increased volume which will drive the cost.
Daniel Scott: Okay. That makes sense. And then just one more. I know having you on the road that you talked about being able to sequence the construction of this mine. It is a fairly large number. Even over 5 years, maybe you could just kind of comment on that, where -- at what point if the market stayed soft, you could pause?
Walter Scheller: Right now what we’re starting is the slope for the mine. And it really takes I think it's about 3 years before you get to the bottom of the slope. And at that point, that is where you would begin the continuous miners development. And that's really a -- an obvious break point is, once you start that slope development, you're going to want to complete it. So the purchase of that equipment and the development of the underground mine would be a clear break point. Also, you have the development of the preparation plans and the few things like that that are -- have very well-defined timing to get those constructed. And you're going to base that timing upon which what you see is the market and whether or not you have moved forward on some of the other things. So it's those types of things that, I think, made clear break points in the development.
Daniel Scott: So it's fair to say that probably year 4 is the shields in the longwall, and that's the max spending here in the first 3 are much more modest?
Walter Scheller: That's probably not inaccurate. Yes. Dan, here is the -- in the slide presentation that we did on our website, we've kind of laid out the spending by year. Really your third and fourth year is kind of around 20%, 25% in those years. So it's the bulk of the spending is pretty much for the last three years.
Daniel Scott: That's awesome. Great. Thanks, guys.
Walter Scheller: Thank you.
Operator: The next question will be from David Gagliano with BMO. Please go ahead.
David Gagliano: Great. Thanks for taking my questions. I think you may have just touched on the question that I had, but based on some rough math, it looks like you could probably fund most of the Blue Creek development on an annual basis with internal cash flows, assuming, kind of a 150 met environment or better. So two questions, actually. That seem relatively or does that seem accurate to you, not relatively, that’s accurate to you, number one. And number two, if so, why and what kind of external funding options are you considering?
Dale Boyles: Thanks, David. I think we have a lot of flexibility here. And one of the things that we did point out in our disclosures is, there's a large amount of equipment which you got to purchase for this mind as well that we could look at leasing. So, when you think about cash flows, since the IPO, just in 2.5 years, we generate over a $1 billion of free cash flow. So if you look forward in a pricing environment, call it 150, we're going to generate in excess of $1.2 billion in operating cash flows. And let's just say CapEx, you spend $100 million a year for 5 years, which I think is high -- on the high side. You still have more than $100 million of cushion even if you spend the max amount of CapEx here. So feel very confident that this could be done on free cash flow if we want, but I think we do have other options at our disposal and we plan to take advantage of any market opportunities that may come to us. So, we're going to be flexible on how we look at financing the whole project.
David Gagliano: Okay. And then just related question, obviously historically there has been very chunky special dividends that were paid out. Did you comment on, expectations or not expectations, essentially, but thoughts moving forward on the potential for additional special dividends during this period of high CapEx?
Dale Boyles: Well, like in the past, we really haven't changed our capital allocation policy with the announcement of this project. We've always said to the extent we determine, the Board determines that there is excess cash flows, we will return that to shareholders in various forms. And we've done that and shown that throughout our history so far. Now, most of those big special dividends have occurred in very, very high price environments. So if you're going to be in a 150 environment, that's substantially different than $200. So, we tend and we're still committed to returning capital to shareholders, but we're going to have to balance the two just depending upon price environment during this 5-year construction period.
David Gagliano: That's helpful. Thanks.
Operator: The next question is from Curt Woodworth with Credit Suisse. Please go ahead.
Curt Woodworth: Yes, thanks. Yes. Hey, Walt, and Dale. And I just wanted to say congratulations on a really remarkable sort of operational turnaround you guys have achieved at this asset. I think a lot of us remember back in the Jim Walter days, some of the variability in the mine and it's pretty amazing what you guys have accomplished. First question is, just with regard to your calculations for NAV for Blue Creek. Are you assuming that the High Vol A production is priced at parity with low vol? And then, on the cost performance being so much lower, is that a fully loaded number at the port? Because I was of the view that maybe logistics could be a little bit higher. It's my first question.
Dale Boyles: Yes, I guess the answer to your last question first. I mean, that all in cash cost is, F.O.B. port. It's going to be very low cost on the mining production side. And then the transportation should be similar to what the rates we have today. I’m sorry, your first part of that question was …?
Curt Woodworth: The pricing assumptions in terms of the relative discount to …
Dale Boyles: Well, the way we laid it out Curt here in all of our metrics is just saying, look, if prices are 150 for High Vol, right? Because you're going to have some variability, it's a little bit hard to predict what those differences are going to be, even though we’ve seen historical trends recently be near the Low Vol Index price. So we didn’t want to assume that. We just did more around, okay, if you're looking at an assumed High Vol A of 150, then this is the amount of the returns and the pay back.
Curt Woodworth: Great. And then, I guess when you look at this project and the NAV that you're running, that makes a very conservative 150 number is equivalent to the entire market cap of the company. I don't think I've ever seen like a single project where you could correlate that to the value of the entire market cap. Would -- in an environment if the equity market seems to almost penalize you for this, would you evaluate strategic options, or look at monetizing part of this project to crystallize that value?
Dale Boyles: Well, it's hard to imagine someone's going to argue with a 30% IRR. If you have something better, please, please call me. It's just -- you're talking about EBITDA margins greater than 50% payback of 2 years. If you've got a better project something quicker, please give me a call -- it's just an incredible project. One, high quality product that is well desired by our customers already. Low cost, very, very low cost, and you can see in the materials we think on a combined basis with existing business that will take us well into the first quartile of the cost curve. And what better returns can you get than that in today's environment?
Curt Woodworth: No, I agree. I guess the question is, if the equity market tends to disagree one way to solve for that would be to sell an interest in the project. We've kind of seen it in copper where strategic buyers tend to award maybe better value. So I guess the question is, are you contemplating at all derisking the project or trying to monetize the project?
Dale Boyles: Well, again, that would say that you're projecting that we do not have a proven track record on execution risk. I think over the last three years since 2016, as you led off here, we've proven, we've demonstrated that we can grow this business. We manage risk and we believe we can do this. Look at the cash flow generation over the last few years, the strength of our balance sheet, we feel highly confident that we can do this on our own without a partner. And I think the results are there as well as just looking at, as I mentioned earlier, the cash flows -- organic cash flows that we can generate to do this on our own. So we're very confident in this project.
Curt Woodworth: Great. It makes sense. Thanks very much.
Operator: The next question comes from Lucas Pipes with B. Riley FBR.
Lucas Pipes: Hey, good afternoon, everybody, and I want to echo some of the earlier congratulations. Truly outstanding operational performance since you've emerged from your restructure.
Walter Scheller: Thank you, Lucas.
Lucas Pipes: I want to piggyback on some of Kurt's questions, specifically if you think about kind of a cost to capital cost for Blue Creek relative to the market cap versus the alternative of buying back your shares, how did you evaluate that opportunity costs? Would appreciate your thoughts on that? Thank you.
Dale Boyles: Well, just buying back shares in general. Well, I will say that doesn't seem to work too well recently in the sector. As just looking across the sector, public -- publicly traded coal companies, a lot of money has been spent on buybacks. And I don't think the results show that that's worked very well. So -- and I think it's difficult in this sector to say that that's an absolute these days. So as we've done in the past, we tried to use every tool in our tool belt with special dividends, quarterly dividends, buybacks, and we're going to evaluate those with funding this project. But as you can see in all the metrics, the growth, the size of this opportunity is enormous. So to say a buyback is better, it's going to have to have an incredible return to it.
Lucas Pipes: Okay. Well, thank you for that. And then just two more clarification questions. First, the $65 to $75 cost guidance. Is that per short ton at the port?
Dale Boyles: Yes, at the port, F.O.B. port.
Lucas Pipes: Great. Very helpful.
Lucas Pipes: Thank you. And then back to the quality side. So think of my number seven is kind of premium Low Vol of the equivalent. Mine number 4 more came to a mid vol. And then Shoal Creek in the same vicinity, more is kind of the High Vol A. Would you be able to kind of put Blue Creek on that spectrum where it would fit in from a quality standpoint?
Walter Scheller: Very similar to Shoal Creek. It's a very similar quality product that Shoal Creek has.
Lucas Pipes: Great. That’s fair
Walter Scheller: So it's a low sulfur, high CSR [ph], high Vol A,
Lucas Pipes: Very helpful. Well, those are my questions for now. I appreciate it. And best of luck.
Walter Scheller: Thanks, Lucas.
Operator: Our next question is from Alex Hacking with Citi. Please go ahead.
Alex Hacking: Hi, good evening. I also have a few questions. I guess, first, do you need any additional port capacity at mobile because you talk about the expansion there in the slides, or is the port -- is the current capacity sufficient to handle the additional volume? Thanks.
Walter Scheller: The port is doing some upgrades over the next several years, one of them is deepening and widening the channel, which will allow bigger vessels to come in to operate in the area. And we believe the port capacity will not be an issue once the project is brought online.
Alex Hacking: Okay. I guess my question is, do you need that project, that port project to go ahead or the port could handle the tons today, as is.
Walter Scheller: As is, they might need to tweak a few things, but not a lot. I think their design, their design capacity is within the range of within the range of what we intend to produce. So I think they have to tweak a few things, nothing major.
Alex Hacking: Okay. Thanks. So I'm looking at your slide 13 here from the Blue Creek presentation. You talk about, the large majority of High Vol a demand is in your target markets. If I add all that up, it looks like a bit less than 30 million tons of High Vol A demand around the world. And then above that, you've got a bunch of projects that add up to 10 million tons, right, including Blue Creek. Like, am I -- it seems like a lot of supply for that market size or am I like misinterpreting like the slide, I guess.
Walter Scheller: We just highlighted the biggest markets. We identify the entire marketplace demand for the High Vol A.
Alex Hacking: Okay. So you're confident that you can -- but you're going to secure off day.
Walter Scheller: Oh, yes. Yes.
Dale Boyles: We are confident that the large majority of this will go into our existing markets, but we do think that, with a demand that's going to grow out of India and as we all, I talked in the past India has been talking about this growth for quite some time, but we do believe we’ve seen that recently and that opportunity for us is a market is something we think will happen over the next several years.
Dale Boyles: Okay, thanks. And then just on to the 2020 guidance, maybe I missed this in the comments in the beginning because I was just a minute or two late. Obviously, your sales guidance for 2020 is lower than 2019. How much of that is market driven and could be adjusted higher if we see a pickup in coal demand. And then how much of that is production and operationally driven? Thanks.
Walter Scheller: Well, as I stated, we looked at the first quarter and projected the first quarter to be similar to Q4 of last year, in which we did not have our foot fully on the accelerator, pushing the lines as hard as we could. And if we would see the market justify pushing these mines at full speed, we would do that. So I think there is upside from there based on what the market conditions are. As an example, last year through the first nine months of the year, we ran just about every Saturday. So we pushed these months pretty hard. And in the fourth quarter we slowed down a bit. And in the first quarter with inventory levels, we're maintaining that pace.
Alex Hacking: Okay. Thank you very much.
Dale Boyles: Thank you.
Operator: The next question is from Chris Terry with Deutsche Bank. Please go ahead.
Christopher Terry: Hi, Walt, and thanks for taking my questions. First question just around Blue Creek. And just relating it to the update you put out the other day around the net operating loss carryforwards, do you assume what sort of tax rates do you assume within the project economics to get to that MPV? And the second part of that is you're saying no cash tax, obviously, in 2020. How long do you think that situation last for on your math? Thanks.
Dale Boyles: Yes. Thanks, Chris. As far as NOLs, we -- in these particular metrics, we have not assumed any use of the NOLs in the project economics. What we've assumed is a 14% tax rate. We believe that will be approximately the rate in that project because of the incentives that we will be able to get relate to that projects. So that I think there was a little over 17%. So it will drop down more than that 14% to 15% range once this projects is up running full production. So if you look at the expected life of our NOL, in these last two or three years, price has been really high. So the life of the NOL can certainly come down. But if you assume a 150 price over the next several years, we probably got six to eight years of NOLs still available to offset the cash taxes. So that kind of coincides with the timing of the project.
Christopher Terry: Okay. Thanks. Thanks, Dale. So it is possible, depending on the pricing whether that may overlap into Blue Creek and therefore improve the economics beyond that 30%, which is obviously at 150 met coal. But if you believe that pricing you could get upside to that.
Dale Boyles: That's correct.
Christopher Terry: Okay. Thank you. And I just wanted if you could comment just a little bit more on that announcement from the other day, I think Feb 14, the loss carryforward announcement? Thanks.
Walter Scheller: Yes, what we did is adopted -- an NOL right plan. Just another layer protection for our NOLs based on this cumulative ownership change. The rules around -- the tax rules around Section 382 very complex. And as you may remember we had this chart or have this chart restriction in place. It was three years from the IPO and it expires in April. So last year we put it up for about to extend it through April of 2023. And there was a few shareholders that voted against that proposal. And under Delaware law, they cannot be held to that chart restriction. So in order to kind of plug that hole, you had to put in place this NOL right plan to just prevent that. So really just another layer of protection. It has sunset provisions. It's really not -- it's not a poison pill. It's just to protect us in a well. Just another layer protection.
Christopher Terry: Okay. Thank you. And the last one from me, just coming back to the project and how the market is interpreting. Just interested in your feedback is, is most of skepticism around the Met coal market itself and therefore the market not wanting you to add additional tons and rather to keep the market tight or is the skepticism around the project itself? Thanks.
Dale Boyles: I'll start and I'll let Walt add some comments here. I think there's always a lot of risk around large projects like this that take time, right? You have execution risk, you have price risk, you have a lot of different risks. And 550 to 600 means a lot of money. So -- and over five years, projects have cost creep. Things go wrong. I would just say, look, look back at our history since the first to 2017. I think what you will see is we really have a good, strong, proven track record. We went from just under 3 million tons produced to now 8.5 tons produced this past year. We've grown that capacity each and every year, continue to do things to keep our costs low and increase that production. As we noted in our comments, this year was our lowest annual cost per ton amount in three years. The fourth quarter itself demonstrates how we can control our cost by flexing production. That was our lowest quarterly cash cost in nine quarters. All that to me should demonstrate that really we can handle this. We know what we're doing. As I said earlier about the cash flows, we feel very comfortable that we can do this without anyone else. And we think this is just an incredible opportunity for this company and that we can manage those risks sufficiently and deliver.
Walter Scheller: I'll just echo what Dale said. I think it's purely execution risk and getting through the project and coming out the other end of it, ready to operate.
Christopher Terry: Thanks very much, guys. That's it for me.
Walter Scheller: Thank you.
Operator: [Operator Instructions] Next question comes from Matthew Fields with Bank of America Merrill Lynch. Please go ahead.
Matthew Fields: Hey, guys. I wanted to focus on the CapEx and the funding of it for Blue Creek. Appreciate that you sort of put out that kind of guidance about equipment financing for a little over $100 million. But with your bonds, trading well above par and sort of callable at the end of this year, what's the calculus on doing a kind of terming out debt and increasing the size of that issue to sort of help, prefund part of Blue Creek and kind of make your maturity now outside of the project completion?
Dale Boyles: Yes, thanks, Matt. Yes, certainly we're looking at those options. We're just going to have to see what's available and what's -- what we have access to as I said earlier, be opportunistic in the capital markets that change every day. So certainly looking at extending those maturities, possibly increasing the size or even just taking it out altogether. Those are all options that we'll continue to look at because we do want to optimize our capital, our capital structure, and we'll be continually monitoring that, but we feel very good about this year. It's $25 million of spend, which we can handle very easily with our free cash flow.
Matthew Fields: Okay. That's it for me. Thanks and good luck.
Walter Scheller: Thank you.
Operator: Ladies and gentlemen, at this time, there are no further questions. I would now like to turn the call back over to Mr. Scheller for any closing comments.
Walter Scheller: That concludes our call this afternoon. Thank you again for joining us today. We appreciate your interest in Warrior Met Coal.
Operator: Thank you, sir. That concludes today's conference. Thank you all for participating. You may now disconnect.